Operator: Good evening everyone. Thank you for joining the Thai Beverage FY 2020 results call. All participants have been placed in listen-only mode. Later, we will conduct a question-and-answer session and instruction will be given at that time. I will now hand over the call to the presenter, Ms. Namfon Aungsutornrungsi, Thai Bev's Head of Investor Relations and the Member of Thai Bev's senior management team. Thank you.
Namfon Aungsutornrungsi: Good evening ladies and gentlemen, welcome to Thai Beverage 2020 financial results conference call. I'm Namfon Aungsutornrungsi, Head of Investor Relations. For the conference call tonight, I will start with the summary of the 2020 results then we will open the line for Q&A session with our management team here.
Operator: We will now begin the question-and-answer session.  Now our first question   from  Security.
Unidentified Analyst: Yes. I would like to ask about the situation in Vietnam right now about THBEV, I see the number in terms of  improved like ฿3000 million. So, I would like to know that the situation is better right now or what can I expect? That's it.
Bennett Neo: This is Bennett from SABECO. I mean, we're referring to the results published. So probably most of you know I think, Vietnam handled the COVID situation pretty well. In fact, a lot of restaurants are open. And people are actually having meetings and events right now, but not to the scale of what we had last year, but it's generally improved. So for the last quarter, we see month-over-month improvement in the performance so far July, August and September, so we've seen improvement and thereby the quarter was an improvement over the previous quarter that was reported. All that made us to caution with that, I think it is coming this COVID situation plus economic impact of the COVID situation as taking effect. We believe that there'll be some softness in the coming months before I hope, buying stocks again during the lunar new year period.
Operator: Our next questions .
Unidentified Analyst: Hi, Bennett. This is Jane. I have attended your conference call before. I just want to have a follow up question on your new product exciting product, The Saigon Chill, which is, trying to break into the sub-premium segment. So my question is, in terms of competitive Saigon Special, which is the same product. Can you sell your Saigon Chill in the same drinking outlet as where you are currently also selling Saigon Special or you need to actually try to discover, try to penetrate into more premium kind of drinking outlet in order to sell your Saigon Chill. As we know, we absolutely have a market share in the on-trade segment. So this sub-premium section. So I just wondering, how easy or how difficult are we to try to penetrate into those more premium drinking outlets, as we already have the presence somehow.
Bennett Neo: First of all, I think we're all excited about the Saigon Chill. The feedback from consumers and even distributors retailer has been -- the packaging is beautiful and the product is good. So far, from  I'm concerned, almost 100% of people who have tried the product said it is good, and the product plus package is good as well. This is our first real foray into the sub-premium market. The sub-premium market is dominated by our competitor, Heineken, with Tiger, Tiger Crystal. So we also try to participate in this area with Saigon Special, but we are not as successful as them. I think we are very confident that via Saigon Chill, we will be a big competitor for them. And we hope to be able to gain some share in the sub-premium market. In terms of the distribution. I see upsides to because Saigon Chill can go into any Saigon Special outlet, the taste profile is a bit different, it's lighter and it's in clear bottle. So the target segment is slightly different. At the same time, I think with this product plus the portfolio of the other brands, we are able to go into more outlets. In the past, I mean, if we have Saigon Special, Saigon Export, Saigon Lager, bah, bah, bah, we can go to certain outlet with beer Saigon Chill, we can even go to even more higher end outlets. So I think it has opened up more opportunities for us.
Unidentified Analyst: Right. Okay. And one last follow up question, it is regarding your current stronghold in the mainstream segment, or the mass segment. And then as we know, the competitors are trying to also penetrate into, so you go up, they go down, right? So they are trying to also launch new products to try to penetrate into the mainstream segment by launching a cheaper brand and also more nationwide coverage go to lower tier cities or rural area. So how, what do you think you can do to try to protect your market share in place of this -- the competitor being quite aggressive trying to take your shares from the mainstream segments. That will be my last question. Thanks, Bennett.
Bennett Neo: And I think in the mainstream segment really is a big segment. I think we have got a few brands in this segment. We've got a beer Saigon Lager, we have got Saigon Export, we . So I think everybody wants to get into this mainstream as well, especially those who are not -- those competitors who do not have brands or products in this segment. But effectively if you've been selling higher premium products. If you try and come to this segment, you tend to keep the margins -- if you come in with the higher margin and the lower margin product going to the outlet, you may cannibalize going downwards, for us, we cannibalize -- the public cannibalize upwards. So there is risk on that side. Regardless, I think we also launched  it's also a mainstream product. It was used to complement our beer Saigon Lager and Export to go into those areas to fight. So we don't not have to discount, or we do not have to do promotion to us, promotion for beer Saigon Lager to protect our margin but we can other products, other brands to fight against competitors. I can’t deny, no, everybody who wants to come in, but I think we have -- fuller mainstream product will be able to handle them at different places. So we have a different brands or brands to take on competitors in different areas.
Operator: Our next question  from UBS.
Unidentified Analyst: I've got just two quick questions. In prior to the briefings you've mentioned, rising on consumption as a trend. And over the last couple of years that's been the trend you've seen increasing off trade share . End of Q&A 